Operator: Good day, ladies and gentlemen, and welcome to the Parker Hannifin Corporation Fourth Quarter and Full Year Earnings Conference Call. My name is Crystal, and I will be the operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Pamela Huggins, Vice President and Treasurer. Please proceed, ma'am.
Pamela J. Huggins: Thanks, Crystal. Good morning, everyone. It's Pam speaking, just as Crystal's mentioned. I'd like to welcome you to Parker Hannifin's fiscal year 2014 and fourth quarter earnings release teleconference. Of course, joining me today is Chairman, Chief Executive Officer and President, Don Washkewicz; and Executive Vice President and Chief Financial Officer, Jon Marten. For those of you who wish to do so, you can follow today's presentation with the PowerPoint slides that are presented on Parker's website at www.phstock.com. For those of you not online, the slides will remain posted on the company's investor information website at www.phstock.com as well, and they'll be on there 1 year after today's call. At this time, reference Slide #2 in the slide deck, which is the Safe Harbor Disclosure Statement addressing forward-looking statements. And again, please take note of this statement in its entirety if you haven't already done so. This slide also indicates, as required, that in cases where non-GAAP members have been used, they have been reconciled to the appropriate GAAP numbers, and they are also posted on Parker's website. Slide #3. We have the agenda here today. It consists of 4 parts. First, Don Washkewicz, Chairman, CEO and President will provide highlights for the quarter and the year. Second, I'll provide a review, including key performance measures, again, for the year, as well as the fourth quarter, concluding with the guidance for fiscal year 2015. The third part of the call will be our standard Q&A session. And for the fourth part of the call, Don will close with some final comments. So at this time, I'll turn it over to Don and ask that you reference Slide #4 titled Highlights, Fiscal Year 2014.
Donald E. Washkewicz: Thank you, Pam, and good morning to everyone on the call. It's great that you were able to take the time to join our call today as we close out our 2014 fiscal year and update you on our progress. This was a transitional year for Parker, and there was a lot of noise in the numbers, as you've seen, and we'll get into that a lot more in the Q&A. However, the significance of this year was that we were able to complete the largest series of restructuring efforts in our history and still deliver strong operating performance that we projected going into the fiscal year. This positions us extremely well heading into fiscal 2015, and sets us up for a continued excellent performance beyond that, and I'm talking about especially into 2016, considering the additional restructuring that we're undertaking. I'm very pleased with where we stand today. Talk a little bit about 2014, the entire year. We witnessed slow economic conditions early in the year but saw improvement as the year progressed. We were able to deliver record sales in this slow growth environment. We also experienced increased year-over-year growth in orders for every quarter in fiscal year 2014. Our total segment operating margin was strong at 13.5%, or 14.3% adjusted for restructuring, and that was led by North American margins of 16.7% on an adjusted basis, and we're certainly very pleased with that performance. Earnings per share for the year increased 10%. The adjustments in this year's earnings included charges related to asset write-downs, a gain associated with our joint venture with General Electric Aviation, and our restructuring activities, all of which that we discussed in prior quarters. Our restructuring activities required a significant amount of management attention, and our team was able to follow through on our commitments to complete those actions. In total, we incurred $104 million in pretax restructuring expenses, and that translates into about $0.49 per diluted share. Operating cash flow for the year was $1.4 billion, or 10.5% of sales, and I'm really pleased with this. This is the 13th consecutive year we generated greater than 10% operating cash flow. So ever since we launched the win strategy, cash flow has been greater than 10% for every fiscal year thereafter. Our use of cash priorities remains the same, as we've stated in the past. Number one is dividends, that's our first priority; acquisitions would follow that; and then, certainly, share repurchases, in that order. We're increasing the dividend 7 -- or we have increased, I should say, the dividend 7% this year, and that extends our long-standing dividend increase record to 58 consecutive fiscal years. We also repurchased $200 million of our own shares throughout the year, and that's a result of our 10b5-1 program, and that program will continue in fiscal 2015. Just a couple of highlights on the quarter. We'll go in a little bit more detail later, but sales were a quarterly record in the fourth quarter at $3.53 billion. So that was good. Earnings for the quarter were $1.98 per diluted share or $2.06 adjusted for $0.08 per diluted share in restructuring expenses. On top of that, we incurred additional onetime restructuring related costs in the quarter, estimated at $0.10 per diluted share, and we can discuss that further, give you some idea as to what those expenses were in the Q&A session. Segment operating margins were strong at 14.5%, or 15% when adjusted for restructuring and, of course, as you know, 15% has been our target for some time. So we're leaving this fiscal year at a pretty nice level here. Operating cash flow was also a quarterly record at just over $500 million, or 16% of sales. Once again, we're in an excellent position entering in the New Year. Just a comment on the outlook. Looking forward to fiscal 2015, we're anticipating another record year and have initiated guidance for adjusted earnings in the range of $7.25 to $8.05 per diluted share, or $7.65 at the midpoint. Keep in mind that the estimates are adjusted for approximately $0.25 per diluted share in additional restructuring efforts in 2015. Pam will now take you through a little bit more detailed review of the results.
Pamela J. Huggins: Thanks, Don. If everybody would reference Slide #6, I'll begin by addressing earnings per share for the quarter. If you go all the way to the far right side of this slide, adjusted EPS is detailed for fiscal year 2014 and fiscal year 2013. These numbers are adjusted for restructuring expenses, the joint venture gain and the asset write-downs that we previously discussed in prior earnings calls. So adjusted for the items just mentioned, earnings per share for the full year of fiscal year 2014 came in at $6.94 and this compares to $6.33 last year. Immediately to the left, adjusted earnings per share for the fourth quarter are detailed. And fourth quarter earnings are adjusted for restructuring expenses as well. And it came in at $2.06 versus $1.80 for the same quarter last year, an increase of $0.26 or 14%. Restructuring, as Don said, was $0.08 for the quarter, and this compares to $0.02 last year. Full year restructuring cost for fiscal year 2014 was $0.49 and this compares to $0.07 for fiscal year 2013. So just to clarify, because I know there were some confusion around this, that the $2.06, the $0.08 has been added back to the $1.98, it does not include the additional $0.10 that was called out in the press release. So now moving to Slide #7 addressing the earnings per share. This lays out the significant components of the WAC from the adjusted earnings per share of $6.33 that I just mentioned moving to the $6.94 for fiscal year 2014. Here, you can see that the significant items comprising the increase in earnings per share in fiscal year 2014 versus last year is increased segment operating margin of $0.43, so healthy on the operating margin line, and lower below-the-line expenses of $0.13, and this is mainly due to less pension expense that is cost-light, in the other line, below segment operating margin and lower interest cost. The lower tax rate also contributed $0.05. So moving to Slide 8, addressing the quarter and again, laying out the components of the WAC from the adjusted earnings per share of the $1.80 for the fourth quarter last year to the $2.06 for the fourth quarter of this year. And again, these numbers are adjusted for restructuring cost. The significant component comprising the increase again, segment operating margins of $0.13, and this is mainly due to North American aerospace offset by international, $0.05, and lower below-the-line expenses of $0.10, again, due to lower pension expense of $0.05 and lower incentive compensation included in corporate G&A of $0.05. And then, of course, the lower tax rate contributed $0.03. So moving to Slide #9. And again, I'd ask -- this is a busy schedule, obviously, but if you go all the way to the right, the highlighted blue box, sales adjusted for the joint venture is shown, and it shows an increase in sales for the full year of 2.5% versus fiscal 2013. Acquisitions and currency offset for the most part, resulting in little over 2% organic growth. In the fourth quarter, however, which is detailed in blue on the left, you can see that adjusted organic or reported sales increased 4%. So it did pick up in the fourth quarter, 3.8% on an organic basis and 4.4% on a reported basis, so happy to see that. The difference between organic and reported is currency, which was positive in the quarter, adding another 0.6% So looking at the adjusted margins for the full year. Excluding restructuring costs, they're at 14.3% versus 13.9% last year, nice improvement. And for the fourth quarter, adjusted margins reached 15%, and this compares to 14.7% for last [Audio Gap] Restructuring cost in the quarter, $18 million, which is the $0.18 that we talked about versus restructuring cost last year of $4 million. And as you know, restructuring costs for the year, as Don mentioned, $104 million. However, $2 million of that $104 million fell below the line in other, and $102 million, as detailed on this page, is included in segment operating income. The higher segment operating income this year of $1,892,000,000 versus $1,804,000,000 last year, it's really due to higher volume in industrial North America and international, favorable product mix in North America and then realignment savings, or restructuring savings and international, offset by restructuring-related expenses. So let's move to Slide 10 and address the segments, starting with North America. Again, on the right side of the page, for the full year, North American reported revenues increased slightly to $5.69 billion, and that's from $5.68 billion last year. Adjusting for the unfavorable currency impact of 0.5%, mainly Canadian currency and the contribution from acquisitions of almost 1 point organic growth increase, close to 1%. Looking to the left and addressing the quarter. Organic and reported revenues increased 4% in the fourth quarter of this year. Acquisitions had no impact on this segment, and the currency impact was minimal. Adjusted operating income for 2014 increased to $949 million from $911 million in fiscal year 2013. That's a 4% increase, mainly the result of higher volume, favorable product mix and, of course, tight cost control. Adjusting -- adjusted operating income for the fourth quarter increased to $269 million from $251 million for the same quarter last year, and again, mainly the result of higher volume. So moving to Slide #11, addressing Diversified Industrial, international. Here, for the full year, organic revenues increased 3%. Currency had no impact, and acquisitions increased revenue by a little less than 1%. So as such, reported revenues increased 3.5% for the year, moving from $5.1 billion last year to $5.3 billion this year. The increased sales in this segment were due to higher volume in Europe, where sales actually increased 5.5%. For the fourth quarter, organic sales increased 1%. Currency contributed 2% to sales, resulting in a reported sales increase of slightly over 3%. Adjusting for realignment cost, operating margin for the full year increased to 12.7% from 12% as the result of this higher volume that I just mentioned and then, of course, savings on the realignment activities, which were partially offset by realignment-related expenses. For the quarter, adjusted operating margins declined from 12.4% to -- of sales to 11.2%. And again, this is due to the restructuring-related expenses that we've been mentioning and the unfavorable product mix, partially offset by the higher volume and the savings from the restructuring activities. Our restructuring costs in this segment were $17 million in the fourth quarter versus $3 million a year ago. So now moving to aerospace, reported in organic revenues, adjusted for the previously announced joint venture, increased slightly more than 4% in the year. The impact of acquisitions and currency, of course, negligible in this segment, as it usually is. And revenues increased mainly due to higher commercial OEM business. For the quarter, revenues increased 8.6%, and this is mainly due to higher commercial OEM business. Operating margins for the year were relatively flat due to a higher mix of OEM versus MRO business, less defense business, of course, and unusual new program expenses. Adjusted operating margin for the fourth quarter increased to $105 million from $86 million for the same quarter last year, again due to the higher volume. And then we had multiple settlements relating to contractual negotiations included in those numbers. So let's move to orders. And just to remind everyone, these numbers represent a trailing average, and they're reported as a percentage increase of absolute dollars year-over-year, of course, excluding acquisitions, divestitures and currency. Diversified Industrial uses a 3-month average, while aerospace systems uses a 12-month average. So as you can see from the slide, total orders were positive 4% for the June quarter just ended. This represents 4 quarters of positive numbers. Diversified Industrial North American orders just ended, increased 6%. International decreased 4% for the quarter, but this is really a comp issue. We were up against a tough comparison. And then aerospace, of course, increased 17% for the quarter. So going to the balance sheet. Parker's balance sheet remains strong. Cash and short-term investments on the balance sheet at yearend was $2.2 billion, partially offset by outstanding Commercial Paper of a little more than $800 million. DSI, or days sales and inventory, came in at 61 days, and this is a 5-day improvement sequentially versus the third quarter. And inventory now is 10.4% of sales. This is an all-time record for Parker and an improvement versus last quarter, where inventory as a percent of sales was 11%. Accounts receivable, DSO closed at 48. This is a 2-day improvement from last quarter, as well as last year. And weighted average days payable outstanding at the end of June was 58, again, a 2-day improvement sequentially from the March quarter end. Moving to cash flow here. If you adjust for the pension contributions of $75 million and $226 million, respectively, in fiscal year 2014 and 2013, cash flow from operations of $1.5 billion or 11.1% of sales compares to $1.4 billion last year or 10.9% of sales. In addition to the cash flow from operation, proceeds of more than $200 million were received from investing activities. Addressing the major uses of cash in the year, $478 million returned to the shareholders via share repurchase of $200 million and, of course, our dividend payments of $278 million. Commercial Paper outstanding paid down $515 million in the year, and we utilized $216 million, or 1.6% in connection with CapEx. We also used $625 million in the purchase of marketable securities and other investments during the quarter. So as a result of this and more, the cash on hand declined by about $168 million year-over-year. So moving to guidance for fiscal year 2015. Just to address the question of why we would be providing guidance on an adjusted basis. This is the beginning of a new year for us. We've had requests do that. We looked at it very seriously, and we said that, "Hey, we looked at the comps, we looked at the comparable companies to us, and all of them provided on an adjusted basis." So at your request that this year, in line with our culture of continuous improvement, we're presenting the numbers on an adjusted basis, excluding restructuring. Sales growth is adjusted for the GE joint venture, and segment operating margins and earnings per share exclude restructuring. So on this slide, we've detailed adjusted sales growth, adjusted segment operating margins below the line items, tax, shares outstanding, and reported and adjusted earnings per share. So we're giving you a lot of information here. Beginning at the top addressing sales. Adjusted sales are expected to increase between 2% and 5%. The majority of this growth is organic as there is no impact from acquisition carryover. The projection for currency contributes 0.4% of sales for the year. And remember, we don't forecast acquisitions that may be done next year in these numbers. Adjusted segment operating margins. They're forecasted to be between 15.2% and 15.9%, very healthy segment operating margins, the midpoint of 15.6%. And this compares to 14.3% for 2014 on an adjusted basis. The projection for below-the-line items, which include corporate admin, interest and other, is $490 million for the year, and the full year tax rate is projected at 29%. The number of outstanding shares that we used in the guidance is 151.4 million. So for the full year, as Don said, guidance on an adjusted earnings per share basis is $7.25 to $8.05, midpoint, $7.65. And again, that excludes restructuring of $50 million, approximately, to be incurred in fiscal year 2015, and this is a partial carryover from 2014 and nearly initiated restructuring, which is going to enhance the position of this company moving into fiscal year 2016. The effect of this restructuring on earnings per share is $0.25, with $0.07 each in the first and second quarter, $0.06 in the third quarter and $0.05 in the fourth quarter. Just a couple of salient points with respect to guidance. Sales are divided 48%, or 6.5 -- $1 billion in the first half; 52%, or $7.1 billion second half; segment operating income, first half, second half is divided 44% in the first half, 56% in the second half; earnings per share, first half, second half, 41%, 59%, or $3.15 billion in the first half and $4.5 billion at the midpoint in the second half, and this excludes restructuring. First quarter adjusted earnings per share is projected to be at $1.64 at the midpoint, and this excludes $0.07 of restructuring costs. So just to show you the WAC from fiscal year 2014 up to the forecast or the guidance for fiscal year 2015. Again, the significant items comprising the increase. Segment operating margin of $1.11, and $0.74 of this is international, obviously, because of all the restructuring that's taken place in this year. This is offset by a higher tax rate and higher below-the-line expenses of $0.16, and this is due mainly to less favorable results from market-driven benefits. We have some benefits that are highly dependent on the performance of the market, and the market was very favorable last year and we're not anticipating that it's going to be as favorable this year. So for published estimates, we please ask you to exclude the restructuring expenses and hopefully, I explained why. So if everybody is ready, at this time, we'll commence with our standard Q&A session. Thank you very much.
Operator: [Operator Instructions] Our first question will come from the line of Andrew Obin from Bank of America.
Andrew Obin - BofA Merrill Lynch, Research Division: So the question on international margin in the fourth quarter. You did highlight the restructuring, but can you just talk about mix? Because it seems that operating profit was still down despite higher volume. And the question we've been getting from a lot of investors, is restructuring on track? Is that really what's dragging the industrial margin -- international margin? Can you talk about it in more detail?
Jon P. Marten: Yes. Andrew, Jon here. Yes, for the international margins in Q4. One of the reasons that we decided to put in to one of the major sub-bullets in the press release that we wanted to make sure that we explained was, for the quarter, we only had $0.08 in restructuring. We had anticipated a little bit more than that. Part of that answer for the difference between those 2 numbers has to do with the FY '15 guidance and the restructuring in FY '15. But to answer your questions directly. If you remember, we have $60 million in restructuring in Q3, and that $60 million in restructuring in Q3, as we are executing on all of those restructurings, and as we are starting to get reorganized, as we are starting to take a look at exactly what is required for us in the future, given the different levels of employment, given the different configurations of our factories, started to have an impact on us in ways that we had not expected fully. And so we had some additional costs that we're not used to seeing. We called out $0.10. I'm sure we can call out more than $0.10. That impacted our international margins. We look at that as a onetime impact to our international margins for Q4 for these restructuring-related costs. And if you can imagine, trying to reconfigure our factories, trying to move product lines, trying to finalize all of the requirements of executing on all of these projects, costs were incurred, and we wanted to make sure that we explained that in a very transparent way.
Andrew Obin - BofA Merrill Lynch, Research Division: And just a follow-up question. Just to touch on capital allocation specifically, dividend. Over the past several months, I've seen a lot of your, well, not peers, but even machinery companies have raised their dividend payout ratios. And your dividend payout ratio now even lags, Joy, Cummins, forget about multi-industrial names. You have stated that dividend is the top priority for the company. So how do I square the fact that you have one of the most stable cash flows of anybody, and one of the lowest payout ratios than anybody? What do you guys think about that?
Donald E. Washkewicz: Well, this is Don, Andrew. The -- first of all, dividends is #1. There's no question about it. It's #1. We've done a lot with dividends over the last number of years. I think over the last 5 years, we were almost up 100%, somewhere in that vicinity. So it's not like we haven't done anything, and we recognize what you're talking about that we were low -- a little bit low. But the other things that have been happening here that, in a positive sense, is that we're generating a hell of a lot more money in this company. And so this is kind of a high-class problem. We're trying to catch up to where our performance has been running. In '14 -- fiscal '14, we increased the dividend of about 7%. Last year, we increased it to 10%. And I stated that, in this coming year, probably January timeframe, we'll be looking for another increase in the dividend. Our payout was -- our old target was 25%. Our new target's 30%. We're going to do that over a period of a couple of years. We're inching our way there. We're at about 27% right now, and we're going to be moving that up to 30%. But it won't happen all at one time. We're planning to do it in a logical fashion, kind of a gradual fashion, get up to 30%. So -- and of course, we want to maintain the 58-year record that we have, so we're going to continue this for the foreseeable future. I don't anticipate this ever stopping. We'll continue to raise dividends onto the future.
Andrew Obin - BofA Merrill Lynch, Research Division: But 30% would only get you involved with machinery guys.
Donald E. Washkewicz: Well, it all depends on what else we have that we're trying to do here, too. I think the other priorities are acquisitions. We have done a lot of acquisitions in the past. We anticipate continuing to want to do acquisitions. So our priority beyond maintaining some reasonable parity with the rest of the pack is to grow the company and put the money into acquisitions and new product development, things like that. So if we don't have good places to put the money, of course, we can always go back to dividends and hit dividends a little bit harder in the future. I don't anticipate that's going to be the case, at least, not in the foreseeable future, but it could be down the road.
Operator: Our next question will come from the line of Ann Duignan from JPMorgan.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Can we just talk a little bit more about the restructuring and the issues that you have there? Is this just simply moving product lines has been more difficult? Or are you finding that you have to do more restructuring because things are just not very bright in Europe and in rest of the world? Just a little bit more around what actually is going on in the restructuring.
Donald E. Washkewicz: Yes, Ann. This is Don, I guess I can maybe add a little bit to what we've said earlier. I think when you -- and I've been through enough restructurings in my career, so I can tell you pretty much first hand that this is nothing different than what we've seen in the past. We just haven't done one this big in the past. A lot of this has to do with closing facilities, opening facilities in other locations. You got more scrap, you got lower productivity in the new place. You got people that, frankly, are working at a slower pace, knowing that they're going to lose their jobs, so that's production variance in the existing locations, anticipating a move to the new location. So you've got some of that going on. There were some profit-sharing issues that we ran into through negotiations in one of the countries that cost us little bit more. This is a onetime thing. I think the -- and then we have some ongoing challenges from the standpoint that in some of the contracts that we negotiated in a particular region, some of that's hinged on to actual expense. The specific expense will depend on the ability of the employees that were let go, them finding work. So some of that is variable and still yet to be determined, but that happens as well. A couple of other things that -- areas that you got to keep in mind is the overlap. When you're closing on one factory, you're starting up in another factory or moving product lines, you're double staffing. You got to keep the staff in the old facility, while you're moving to the new facility because you got to still serve the customer while you're going through this training period. I'd like to use the example of running a product, say, at 50 feet a minute is normal in the old facility or existing facility. You don't start up at 50 feet a minute in the new facility. You start up at 10 and maybe go to 20, then 30 and 40. So over a period of time, you get up to that efficiency that you're running in the old facility. But in the meantime, you 'regenerating variances. All these variances that I'm talking about are flowing through our P&L. And believe me, they are impossible to capture. John was talking earlier about $0.10. $0.10 is just the top portion of that, that we're trying to grasp but nobody is out there monitoring every nib here as we go through this restructuring. We've got more important things to do. We just know that the number is a lot bigger than that, but we're just letting that flow through the P&Ls. The other things that you might run into as -- and I know we did, cleaning up the old factory. As you prepare -- as you clean it out and you get it ready to sell, you got to clean it up, you got to clean up the surroundings and whatever. That's all expense that flows through the P&L. And then airfreight. I could give you an example, but I won't of airfreight as to where we found some of our airfreight. It was an unfortunate situation that happened with a plane crash. But airfreight is certainly part of the challenge because you've got facilities that are not running at the same speed that they should be. Customers still want their product when they want it. So we put more product into air. All of those additional expenses end up flowing through the P&L. So I know that's a lot, but that's basically what we're facing. We're just not -- we're not able to capture every penny of that, and we're not trying to. We captured $0.10 pretty easily, but there's probably another 2x or 3x that, that flows through the P&L we're not even capturing.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay, Don. That's good color. So just in summary, I just want to make sure that what you're saying is that it's not that demand is weaker than you expected in international markets and you have to cut deeper, it's just that getting through all of the changes that you've laid out is just costing you more. Is that -- am I interpreting that correctly?
Donald E. Washkewicz: That's correct. It's the inefficiencies of moving operations from the status quo to something else than a status quo. That's exactly right.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay. And then just my follow-up question. If you could give us your normal color on your 3/12s and 12/12s by end market, that would be great.
Donald E. Washkewicz: Okay. Well, maybe I'll start with the PMIs. I kind of like to kind of through those. Just looking at those, and we look at these on a monthly basis and on a quarterly basis, the -- right now -- and we're tracking -- we typically track all of them here, but the ones that I look at closely are the global PMI, the U.S., the Eurozone, Germany being a good representative of a stronger country in Europe and China and Brazil. So those are kind of the ones we look at. Just characterize the 3 points what we're seeing. First of all, all the PMIs are greater than 50%, which is a good sign, with one exception, and that's Brazil, which is running at about 49%. So that's good. They're all -- all of those areas that I just mentioned are greater than 50%. The largest increase, or largest PMI increase is, I should say, from March to July timeframe were in 2 areas, one was U.S. and the other was China. And both of those increased 3 points, which is a pretty strong increase. We don't often see a 3-point jump. But both in the U.S. and in China, we saw 3-point jumps. And then the largest PMI in absolute numbers right now is North America and U.S., which is running at about 57%. So that's a real strong rate of activity in North America. So that's kind of the PMI trend. If you look at some of our markets, I'm going to give you some of the strong ones. Actually, the list of strong ones are -- it's getting pretty long relative to the negative market trends and the flat ones. The strong ones would be commercial aftermarket and OEM. On the aerospace side, that's a strong segment for us. Distribution remains strong, extremely strong. I'll talk a little bit about the 3/12s there in a minute. Machine tools, power generation, telecom, oil and gas, marine, off-highway construction and mining, all strong -- mining, of course, coming off of a low base, but you're seeing some pickup in activity there even though it's at a low level. Also strong right now when you look at the 3/12s and 12/12s is the heavy-duty trucks. And then lastly, on the refrigeration and air-conditioning side, both industrial and commercial refrigeration and then residential and commercial air-conditioning are both positive. So you could see that's a pretty long list. But I'd have to say being led by distribution, keep in mind, distribution is half of our North America -- half of our industrial business, rather, is distribution. Having that segment being that strong, I think, helps offset some of the weaker OEM segments that we see. So then on the negative side, or negative trends, we would have the defense part of our aerospace business, both on the OEM and MRO. Semiconductor being negative now, pharma and ag, finally turned negative, that had been going strong for some time, and that's turned negative. Forestry and then general industrial segments. So those will be the negative ones. You can see the list is relatively short. And then flat segments would be -- market segments or market trends would be life sciences, cars and light trucks, process and industrial trucks and material handling. So that would be -- those will be the flat segments. Then if we look at the regions, and you see some of this in your number, you don't see quite this detail in the order trend number but I'll just kind of highlight for you what the regions look like on a 3/12, 12/12. Of course, North America being very strong right now, 3/12 track and well above 100% in the neighborhood of 106%, 107%. And then 12/12, well above 100% as well. We see a weakening trend in Europe. Not significant but nevertheless, a weakening trend on a 3/12, just slightly under 100%. So that's actually going to drag the 12/12 down a little bit. 12/12's still tracking slightly above 100%. Flat segment would be Asia. 3/12's running around 100%. 12/12's running a little bit above 100%, and then weakening -- what we see as a weakening trend is Latin America. And that's dropped down on a 3/12 basis to about 90%. So when you look at the order trend numbers we give you on a quarterly basis, we don't give you quite that same detail, but I'm giving you a little bit more color here on those specific segments that you wouldn't normally see. So then looking at some of those markets that I've talked about before. On an order trend basis, again distribution being strong, the 3/12 level on distribution runs at 110%. So you can see that's a real strong segment for us, and the 12/12 is running around 108%. So that continues to be extremely strong. Heavy-duty truck, likewise, is running around 110% on a 3/12, which is really good. Improving is construction, although at a lower level that we're seeing, that's slightly above 100% on a 3/12. Semicon, I mentioned, is softening. That's running around 80% on a 3/12. Ag is weakening. That's around 85% on a 3/12. Again, these are our numbers, our order entry numbers, they might not match exactly what you see in the rest of the marketplace or with other peer companies or whatever. This is what we're seeing. Process markets are flat. And then aerospace, of course, is very strong at 3/12 running around 120%, but keep in mind, there's -- a lot of these orders can be up further than this fiscal year. And in fact, in many cases, here in aerospace, they have or they are beyond this fiscal year. So that would be kind of a recap on the markets and some of the order trends.
Operator: Our next question will come from the line of Joe Ritchie from Goldman Sachs.
Joseph Alfred Ritchie - Goldman Sachs Group Inc., Research Division: So my first question is on the industrial international guidance and specifically the margins. If you take a baseline of an adjusted margin of 12.7% for this year, you're still looking for, at the midpoint, 250 basis points in margin expansion in industrial international. Included there are a variety of different moving parts. You called out the $0.10 in onetime costs. There's some kind of underlying incremental margin number that you're embedding, but there's also benefits that are expected to come through. So I was wondering if you could touch on those 3 key points and what your expectations are for the margin ramp for next year.
Jon P. Marten: Well, I think, Joe, in international industrial for next year, by our worksheets that we have here, we are showing that we're going to, first, recoup all the savings that we had from this year, which is, for the entire year, at around $60 million. We'll also get some of the savings that we're incurring in the restructuring that we're doing for FY '15 in the margins for international. Most of the restructuring that we're doing in FY '15 is affecting the international operations or industrial. And then with a very, very modest marginal return on sales for the industrial international at the beginning of the year, and then ramping up as the year goes on, this gets to the, what Pam was talking about, the 41, 59 EPS impact first half, second half. A major driver there is what we're expecting as the year goes on for the international margins for us. So yes, it's a big number, and we all have detailed it out very -- in a great amount of detail. And we know your notation of it, too, here because we are expecting that to really help drive our record results for next year.
Joseph Alfred Ritchie - Goldman Sachs Group Inc., Research Division: Okay. And I guess, maybe just following on there -- a couple of follow-ons for that. The -- one, can you quantify the FY '15 restructuring savings that you expect to come through? And then further, it seems like you took on additional costs to the tune of $0.10, call it roughly $20 million. How do you gain comfort that while you're going through this restructuring, that you're not going continue to see additional costs pop up?
Jon P. Marten: Well, number one, Joe, that will be a risk. I mean, we feel like we've got it monitored in there for FY '15. As Don talked about, we don't do this all the time. We're not experts at it. But what we did in FY '14 was the biggest in the history of the company by a factor of more than 5x. And so we're not experts at it, but we do feel like that, as we were putting our estimates together for FY '15, that all of our operating groups around the world were in the midst of those issues. And so we've got that duly geared into our estimates for FY '15 by unit, by region for the year. And then to answer your other question, Joe, we're expecting the $50 million in restructuring for next year, $23 million in pretax savings.
Joseph Alfred Ritchie - Goldman Sachs Group Inc., Research Division: Okay. And then you called out -- in the quarter, I think you called out some -- I think you said specifically in the aero segment, there were some multiple settlements to contract negotiations. What was the impact of that to the quarter?
Jon P. Marten: I don't have that number on the top of my head, but to give you a sense of what that is, our guidance for next year is about 150 basis points better than our return on sales for this year. So we feel like our go-forward run rate for next year is 13.5%. So whatever that 13.5% versus that result for the Q4, that would be, in round numbers, the unusual lumpy, in this case, for this quarter, good news in our results. So we wouldn't want to give you the impression that we could hit that run rate that we saw in Q4 going forward. Does that answer your question, Joe?
Joseph Alfred Ritchie - Goldman Sachs Group Inc., Research Division: Yes. And I guess I can follow up after for the exact number.
Operator: Our next question will come from Nathan Jones from Stifel.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: So Don, let's start with my side question every quarter. You've obviously got a very strong balance sheet. Haven't got any M&A across the line for about 6 quarters now. Why no buyback?
Donald E. Washkewicz: Well, Nathan, you haven't been paying attention. We did get one across the line.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Anything of meaningful size?
Donald E. Washkewicz: It was a tiny one, though, Nathan. But anyway, no. With respect to acquisitions, first of all, I just have to just tell you where we're at on that. We're looking at a lot, okay? There's no question, we're looking at a lot. We are in due diligence on some, okay, right now as we speak, and we expect to get some through. Still, the values are high, so it's a challenge on some of these getting to where you want to get to. For everyone 100 we look at, we maybe get through due diligence at 10. So it's hard to predict just where we're going to end up, but we do have some activity going on as we speak. And we realize that we have plenty of capacity to do these. So this is where we'd like to spend the money. But having said that, as I said in the past, and I will repeat just for everybody on the call that if we don't get these across the finish line, our priority then falls to share repurchase. And I told you last -- I think it was last year that I was going to do that by the end of this year, and this will be this calendar year, which we're closing out here in the next few months. So we would go into the share repurchase mode if I don't get enough of these acquisitions to the finish line.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Does that imply that it's your expectation or that some of these deals are pretty close to getting done?
Donald E. Washkewicz: Well, in all different stages, I can't -- I cannot predict because every time I think that we're just about there, sometimes things happen, and I just -- it puts the brakes on. So I can just tell you that we are in due diligence on several right now. And so we'll see. I'm cautiously optimistic that we'll get something or some of these through.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And my follow-up question is on the North American industrial margin guidance for next year. You've talked on the call today about distribution being very strong, above average growth, which is obviously a much higher margin for you. You've got 5% midpoint organic revenue growth, and the margin guidance at the midpoint is flat. Is there some kind of pricing pressure or something else that's holding those margins back?
Jon P. Marten: I think that on the top level, Nathan, is our view of the marketplace that we are at all-time record high margins for us in North America. And as we were putting our guidance together for FY '15, we, of course, have our target of 30% marginal return on sales at this stage of the cycle. But we could not get to that level. We're at a little shy of that. As we dig into it a little bit deeper, there are various reasons for that. Most of the reasons have to do with our investments and some of our new technologies, our R&D that we're trying to do, trying to secure our growth for the future, and that is having an impact on the margin and return on sales in North America in our guidance for FY '15.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Could you quantify the impact of the investments in R&D?
Jon P. Marten: Well, I can tell you this, that it is broad-based. It is deep. We are focused on it in every single group. It's hard for me to give you a number right now, but that is certainly the lion's share, the vast majority of the difference for the -- our normal 30 versus what you would see right now, which is about, as you said, 18 or 15. So it's the lion's share, Nathan, but I can't get any more granular than that with you here this call today.
Operator: Our next question will come from the line of Andy Casey from Wells Fargo Securities.
Andrew M. Casey - Wells Fargo Securities, LLC, Research Division: Just to go back to an earlier question and Jon's response to it. Is the roughly flattish Q1 outlook for earnings driven entirely by an expectation that you need another quarter to clear out the international industrial issues? Or is it -- is there something else?
Jon P. Marten: Yes. There's several different issues there, Andy. One of them is, again, our restructuring that we'll be doing in Q1. One of them is our investments in the R&D that we're in the midst of in many, many of our North American operations. And then if you -- when you dig into it and you look at Q1 in our guidance versus Q1 last year, there is a significant number that is negative for us in the FY '15 guidance due to our tax rate that we're going to be using, which is 29%, and which assumes our run rate here for FY '15.
Andrew M. Casey - Wells Fargo Securities, LLC, Research Division: Okay. And then on the $0.16 headwind from corporate interest and other. Could you give a little bit more color as to what's going on there?
Pamela J. Huggins: Yes. One of the things I want to mention as well, Andy. We had a pickup in pension expense last year of about $0.17, and that doesn't repeat this year. Every -- that doesn't repeat this year as well. So that is affecting the first quarter, as well as all of the quarters. So I just wanted to mention that. And then as far as corporate. We have always said that corporate runs about 1.5% of sales. Now last year, it did run a little less than that. And this year, it's running about at the 1.5% of sales. But again, it gets back to what I said earlier. We have some incentive programs that are based on the performance of the market. And the market performed very well last year, and it's not expected to perform at that same level. We haven't built that in. So that's really the difference that you're seeing there.
Operator: Our next question will come from the line of Eli Lustgarten from Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: Can we talk a little bit more about the -- some of the top line assumptions there? I guess I'm surprised that aerospace also shows a negligible adjusted change, a couple of percent, given the concentration on orders. I think it's pushed out, or what's going on? In the slide deck, you talked about the R&D spending here. Is that what's driving the margin up? And then the same question for Diversified Industrial North America, with the long lines of favorable 3/12 and 12/12 curve. I guess I'm sort of a little surprised that you're running with a low- to mid-single-digit type of top line gain.
Jon P. Marten: Well, Eli, first on the aerospace answer. The major driver there that is impacting us for FY '15 is our inability to generate revenues due to the sequestration, which is now is finally catching up with us. And if you take a look at a couple of major programs, military OEM programs, they are starting to impact us in FY '15. And those 2 major programs is what is really taking our prior run rate in Aerospace at about 8%. In normal times, we'll be around 4% or 5%. We're also seeing the impact in FY '15 of the elimination of sales due to the closure of the joint venture that we did with our engine partner in FY '14. So that's impacting the numbers also as you look at the...
Eli S. Lustgarten - Longbow Research LLC: You're right. 2% to 3% was an adjusted number against the already taken out the...
Jon P. Marten: Yes. The major driver there, if you've got the GE JV in your numbers there, the major driver then is the 2 military OEM programs, JSF, C17, which are impacting us. And it is having an impact on us and has what is the major reason for taking down our historical growth rates that we've seen in the past.
Eli S. Lustgarten - Longbow Research LLC: Will that be for the foreseeable future? In other words, until we get some sort of change of policy, do we have to carry that into '16 the same basis?
Jon P. Marten: Certainly, the C17 is very grim right now. So that will be 1/2 of it. The JSF could come back. But I think the growth rates for aerospace normalized going forward past FY '15 within the 5% to 6% range, not the numbers that you're seeing here for some of the gaps that we're seeing here for FY '15. And Eli, for your question on North America. We felt like that those numbers are in line with what we're seeing with our orders. I know that distributions are up significantly, but when we're doing that guidance, of course, as you know, it includes the OEM and that drives that number down a little bit. And so we felt like that's a number that really fairly represents what's been happening with the orders for North America over time, which is very, very healthy for us.
Eli S. Lustgarten - Longbow Research LLC: And that number is why you have relatively flat margins for North America?
Jon P. Marten: Well, relatively flat only because of our investment in R&D that we're really focusing in on. And again, Eli, we're at the 16%, 17% ROS range there, and it -- those are record levels for us. We've done that before, but we've not done appreciably higher than that before ever. We want to. We are aspirational, and we expect that, but this is not something that we would put in our full year guidance for FY '15.
Operator: Our next question will come from the line of Mig Dobre from Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Would you care to comment about order cadence maybe through the quarter? Anything that you might have seen maybe in August thus far, rather July?
Jon P. Marten: I think that -- first, for July. July is supportive of our guidance. I don't want to give you any overly optimistic response or a pessimistic response. It's just kind of supportive of our guidance in July. And I think that's probably the question that you've -- that you're getting to. So we're looking at it very, very carefully. And of course, we're aware of the macro picture, and we understand where the markets are moving and where they're trending is done, laid out in the 3/12. And so we are, right now, comfortable with our guidance.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay. Then if may press you a little bit here. I'm looking at industrial international, and I understand that the quarter had a tough comp from an order standpoint. But your orders are -- were down 4%, and you're guiding for revenue growth for fiscal '15. So I'm trying to understand, given that you're comps are getting tougher going forward, where is it that you're expecting acceleration? Any particular region or end market? What gives you that confidence?
Jon P. Marten: Yes. I think that -- on that, by region, and I appreciate you pointing out the tough comps because that's clearly an issue for us here for the international. But the -- we are seeing Asia start to very slowly but surely move up. And we are -- I've got a projection out there for a 3 -- almost 3.5% growth for Asia for us all together in FY '15, much less so in Europe and negative in Latin America.
Operator: Our next question will come from the line of Jamie Cook from Credit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: I'll just keep it short just because we're already post the hour. I guess, just, Jon, back to the balance sheet again. The M&A is taking longer to happen. The payout ratio is still below your peers. You haven't really done much on that share repurchase. I mean, is there -- as we think about the end of calendar year 2014 where you sort of -- you drew the line in the sand, is there a way for us to -- how we should think about a targeted debt-to-capital ratio? I mean, how should we think about that towards the end of the year because your balance sheet, still, is underutilized or are you sort of backing away from having a more efficient balance sheet?
Jon P. Marten: Well, good question, Jamie. No, I'd -- we'd like to ultimately have more efficient balance sheet, for sure. And like I said, it'll be a meaningful -- if we don't get the acquisitions done because it's been, like you said, 1.5 years now. We've been talking about this. We got a couple of tiny ones through, but it's not going to move the needle. So if we don't do something, it'll be a meaningful share repurchase, let me put it that way. And that will be moving in the direction of getting our leverage back up, maybe not as high as it was in the past, but it's certainly up considerably from where we are right now. And then going on into the next year, I would say that, that same trend would continue. If we don't do the acquisitions, we will be prompt and do the share repurchase and/or dividend increases, like I mentioned before, because we do want to raise the dividend over time. But I think we'll be able to do both, especially with the level of margin performance that we're generating here, earnings performance. I think we'll be able to do both.
Operator: Our next question will come from the line of Stephen Volkmann from Jefferies.
Stephen E. Volkmann - Jefferies LLC, Research Division: Most of my questions have been answered, but I'm just curious, and I apologize if this is a slightly impolite question, Don. But I think you're probably going to retire in this coming fiscal year. Please correct me if I'm wrong. But if I'm not, is there anything you'd like to tell us about what that transition might look like timing-wise or anything else?
Donald E. Washkewicz: Well, I knew we should have cut that question. Yes. We have a kind of a policy here, which I haven't changed. That is a 65 years age policy as far as retirement from this position. So that will happen this calendar year, this coming calendar 2015. And the exact date has not been finalized with the Board. I think those discussions are happening as we speak. Our intent would be to -- my replacement -- my intention would have my replacement come from inside the company. And I think we have some very good candidates in the company under consideration. So that's what I can tell you right now is that yes, you're correct. 2015 would be the year that I would step down as CEO. The question then going beyond that would be what -- in what capacity, if any, would I continue with the company. And of course, that has to be decided by the board as well. But for sure, the CEO -- President/CEO title would be given up sometime this year.
Stephen E. Volkmann - Jefferies LLC, Research Division: So it sounds like you're telling me, calendar '15, and I said fiscal '15. Is that a distinction you're trying to make?
Donald E. Washkewicz: No. Actually, my birthday doesn't come until next fiscal. So technically, I could stay on beyond this fiscal year. But that's why I just say it's the calendar year. And if you want to, I can tell you what date, if you want to send anything.
Operator: And our final question will come from the line of Nicole from Morgan Stanley.
Nicole DeBlase - Morgan Stanley, Research Division: So just a quick clarification, Pam. When you guys gave the EPS breakdown from 1 half to 2 half, did you say that was including restructuring?
Pamela J. Huggins: Yes. We gave adjusted guidance that excludes restructuring. And we're asking that you put your estimates out there under the same...
Nicole DeBlase - Morgan Stanley, Research Division: So when you said the 41% to 59% breakdown, that was excluding restructuring as well?
Pamela J. Huggins: That is correct.
Nicole DeBlase - Morgan Stanley, Research Division: Okay, got it. And then the restructuring. Is that going to be -- it seems like you guys are expecting to realize the bulk or all of the payback next year. So is it fair to assume that the restructuring is going to be front-end loaded as well?
Jon P. Marten: Well, right now, it's about 60% front-end loaded, yes. But there will be some in the second half, Nicole, so we want to make sure that we say that to you, too.
Pamela J. Huggins: Okay. Thank you. I think at this time, we'll turn it over to Don, who has some closing comments.
Donald E. Washkewicz: Yes. Just a couple of comments, and then I'll make some additional remarks. But first of all, some things to remember about fiscal '15 that we covered here, just kind of a recap is that, we're going to have another $50 million in restructuring. I look at that as a positive as far as the outlook for the future. And so just keep that in the back of your mind. We'll have record -- we're projecting record operating margins for next fiscal year. We -- if you take the restructuring out, we'll be at a record. If you include it in the numbers, we'll be at -- we'll tie the all-time record for the company. So we're -- the restructuring we did this fiscal year was exactly what we needed to be working on and produced exactly the kind of results that we wanted to produce going forward to build on this foundation that we have. So I'm really excited about where we're at and what it means for fiscal '15. I hope everybody's happy with the 15.6% numbers that we're putting out there as far as operating margins. 3% growth, I think is -- hey, if some of these segments come back, like if Europe comes back, or if Latin America comes back, or if anything comes back, I mean, it can grow from that base. But we feel comfortable with the 3% based on what we see happening out there right now. Of course, we're going to have an opportunity to refresh that with you every quarter going forward. And if we see something strengthening, we can certainly change that top line number. But I -- we feel pretty confident now. As you mentioned, we have a strong balance sheet, and I appreciate the comments about how we're going to utilize the capacity that we have. Is hope that I was clear as to what our intent is. Yes, we do want to move our leverage up back where it used to be or closer to that point, so we will be taking actions this calendar year to do that, one way or the other. And then I think if you -- it's not too much of a stretch. If you look at the restructuring we're planning to do on '15, and you look at the fact that we're already at 15.5%, or 15.6% operating margin, we -- and I'll be the first one to go out and say this. Maybe I'll get hit here by the rest of my team, but 16% by '16 might be in the cards. As long as we maintain some tailwind here, I think you can see we're not -- we're within striking distance of that. And that would be a fantastic accomplishment for the company. Again, I'm not here forecasting '16 for you, I just want to give you an indication of how you might be thinking about long-term forecast for the company. I think we've certainly done so much this last year to position ourselves for a great '15 and beyond that I think you're going to like the answer as we go forward. So I want to just lastly then, just thank everyone on the call for joining us. Of course, like I said, it has been a transitional year, and it was necessary to go through this rightsizing, if you will, of our operations, particularly in Europe. Those changes are never easy, and they're not easy on the team. The management team worked very hard on this, and I'm happy to say that we accomplished what we set out to accomplish and we hit our targets that we wanted to do. I also like to take this opportunity to thank our global team for their diligence and hard work on executing all of our fiscal 2014 plans. Like I said, we're in a much stronger position now to deliver on our goal of 15% segment operating margins and fiscal year '15 and really now, even more so, over the cycle. That's kind of where we're heading here as we move these margins up. We want it that 15% over the cycle. And I think we're well on our way to being able to do that. I want to thank everyone on the call for your continued interest and support of the company, and I want to wish everyone a great day. And then lastly, Pam will be around for the balance of the day if you have any additional questions, she'll be taking calls, along with Todd, throughout the balance of the afternoon. So have a good day. Thank you.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect. Have a great day.